Operator: Good afternoon, and welcome to the Limelight Networks First Quarter 2021 Financial Results Conference Call. . I would now like to turn the conference over to Dan Boncel, Chief Financial Officer. Please go ahead.
Daniel Boncel: Good afternoon. Thank you for joining Limelight Networks' 2021 First Quarter Financial Results Conference Call. This call is being recorded today, April 29, 2021, and will be archived on our website for approximately 10 days. Let me start by quickly covering the safe harbor. We would like to remind everyone that we will be making forward-looking statements on this call. Forward-looking statements are all statements that are not strictly statements of historical fact, such as our priorities, our expectations, our operational plans, business strategies, secular trends and product and feature functionalities. Actual results could differ materially from those contemplated by our forward-looking statements and reported results should not be considered as an indication of future performance. 
Robert Lyons: Thank you, Dan, and welcome, everyone. In last quarter's call, we outlined the foundation of our strategy to improve shareholder value. It is supported by 3 pillars, each of which balance our immediate and longer-term growth and profitability objectives. They are: first, improving our core which focuses on client performance and profitability; second, expanding our core, which focuses on improving our land and expand commercial motions; and third, extending our core, focused on pursuing additional solutions and non-peak traffic customers to diversify our revenue and improve our network utilization.  I also shared my commitment to transparency and accountability. Having had 90 days to dig into more detail, let me share a bit more color on our loss of momentum in our recent 3 quarters. As previously discussed, price compression has been a significant contributor. Additionally, we have seen some reductions in our traffic related to client SLA performance. Our plan is to return our company to our heritage of delivering best-in-class performance to our clients. It is something that our people take deep pride in, but we simply lost our focus.  Over the past 30 days, we have gotten refocused and are again fully committed and resourced to support our best-in-class performance heritage. We have implemented a rigorous and disciplined process that spans all aspects of our network and our client operations. More specifically, we have established an advanced performance engineering team, a collection of our most talented engineers, who are chartered with the sole purpose of ongoing tuning and performance and improvement across our client-defined key performance indicators.  We have also refreshed the discipline and training of our operational change management. We have strengthened our client success practices with improved tools and processes, enabling us to engage with a much deeper client understanding. And last, each of these teams and processes operate with a daily standup meeting and a weekly wardroom review process. 
Daniel Boncel: Thanks, Bob. Given our earnings call in February, was less than 2 weeks into Bob's tenure as CEO, we decided to hold off issuing guidance for 2021. We have used the additional time to critically evaluate our performance with our customers and our cost structure. We realize that we need to reestablish our credibility and transparency in the marketplace, not only with our customers but with our existing and potential shareholders.  At this time, we believe revenue will be in the range of $220 million to $230 million; GAAP loss per share, in the range of $0.35 to $0.25; non-GAAP loss, in the range of $0.15 to $0.05; adjusted EBITDA, between $20 million and $30 million; and capital expenditures, up $20 million to $25 million.  We believe the performance and client success initiatives we are currently putting in place will have a significant positive impact on our market share with our clients, but will take another quarter to manifest into positive top line growth. These performance enhancements are expected to result in significantly improved operating metrics in the second half of 2021.  Additionally, last month, we reduced our workforce by approximately 16%, while difficult to see many of our colleagues and friends leave, it was the necessary step to begin the transformation of Limelight. We expect annualized run rate savings from this action of approximately $15 million, primarily in the SG&A operating expense line items and will drive improvements to the bottom line as soon as the second quarter. This is important as the expected savings. This demonstrates we are focused on immediate action and firmly committed to improving our financial position. We expect to continue to show incremental gains as we implement the strategy laid out by Bob. 
Robert Lyons: Thanks, Dan. Let me reiterate why I joined the company in February. Simply put, I joined Limelight because I'm a big believer in investing in asymmetric risk. Here, the challenges are temporary, but the opportunity is long and without limit. We will be relentless in our pursuit to become the company we all want Limelight to be. Within 3 years, we aspire to be a rule of 40 company with material accretion of shareholder value. We are making progress with performance, operational discipline and expense management.  To support the ongoing pace of our recent progress, we have extended our relationship with Alex partners. They have a strong belief in the opportunity at Limelight and have indexed their fee structure to be directly aligned with shareholder value creation.  Now let me unpack each of the 3 pillars in a bit more detail. The efforts to improve our core will continue to focus on our performance and cost structure. In addition to the aforementioned actions we have taken, we have also identified a number of additional opportunities to improve our gross margin and improve our operating performance. In pursuit of improved capacity utilization, we have begun evaluating specific action steps on a pop-by-pop basis. This will help us align our hardware infrastructure and peering capacity and identify underutilized pops to drive sales initiatives and/or cost reductions. 
Operator: . The first question comes from Greg Miller with Truist Securities.
Gregory Miller: I would have guessed that you would have given yourself a little more time before planning such a personal stake in the ground, but we really do appreciate the outlook for the year. But I wanted to talk a little bit about just the swing to the business that we had seen late last year and this year. You don't typically see that sort of change in revenue trajectory in the CDN business, unless we'd see a letdown of large customer or performance issue. I guess that you're alluding to might have something very much to do with price.  But in the guide today, it seems that you've largely fixed whatever was wrong for the cost of the downdraft. Can you give us any additional colors relating to what might have been happening behind the scenes that gives you confidence? '21 look a lot like '20, given the last 2 quarters sort of established a different trajectory.
Robert Lyons: Yes. Greg, it's Bob. Thanks for the question. It's a great question. I'm going to unpack two parts to your question. One is, how we feel comfortable giving guidance with where we are today. And then two, I'll go into more color because I think the two are closely tied together.  As far as the guidance, we try to look at macro factors as well as micro factors and how we roll them up. And so when you look at some macro trends that we have in the industry, I think, what we're seeing is a little bit of a reversion back to the mean as far as this time last year, the whole world was in lockdown. People were watching a lot of TV, and it's starting to revert back to normal. So that's a little bit of a short-term headwind for us.  I think on the other side of that coin, though, is the industry continues to expand at a pretty rapid pace and continues to grow. So we see those as somewhat neutral other than maybe some timing issues. If you look at the micro factors, which is largely what has impacted us and both the reason for the last few quarters of challenged and also the reason to why we feel optimistic for the upcoming quarters is that obviously, we talked about the price compression, that's here to stay, it's never going away.  But in addition to that, we -- in our business, it's pretty easy. We get traffic from our clients. And our clients decide how much traffic you get compared to what they give to other people based on your SLA performance. And there are a few metrics that really matter and when you're doing -- when you're in first place or second place, you get the lion's share. And when you're in third, fourth place, you get much less than the lion's share.  And historically, we have always been in first or second place. Over the past year, though, we lost our focus and we slipped. And it's a combination of a few competitors getting a little better, but largely, quite frankly, we just took our eye off the ball. And so, over the past 30 days, we looked at that. And in the forecast, we went by -- client by client, bottoms-up forecast based on where it is today, based on where we think we're going to get to with improvements in performance, and that's where we built the forecast.  And so quite honestly, Greg, I could make an argument why it's a conservative forecast. I could also make a strong argument why there's risk in the forecast. And so what we really try to do is kind of put it right down the middle of the fairway and say, "This is what we think is the right position to have right now."  So having said that, to put color on the performance issues, we -- it's very simple. There are a few metrics that clients look at and how they divvy out volume. And we slipped on some of those things. There's things like rebuffering rate, things like application playback failures. And the difference between us and the next person could be 0.5% or a fraction of 1%, but it's very meaningful in traffic.  And so we had some issues last year. And quite frankly, we had clients put us in jail and turn some of the traffic down. And we felt that in Q4, we felt that in Q1, and we continue to dig out of that. What I will tell you though, one of the reasons why we feel pretty optimistic is that over the past 45 days, we've really gotten back to the basics, gotten really dialed in on performance improvements, a lot of the things that we talked about in the opening.  And we've seen in the last 14 to 21 days, pretty meaningful upticks in performance. We're back to #1 in many positions and 2 in others and quickly pursuing number 1, and it's translated into seeing new traffic over the past 14 days. In fact, off the press, we had 2 of our previously top 5 customers today just this morning tell us that they were going to dial us back up based on the improvements over the last 30 days. In fact, I'll share a couple of quotes that came from the meeting. I'm not going to share the names, I don't think that would be appropriate.  But the quotes from the customer were: "Limelight has taken their breakdown of performance and quality and reliability very seriously. Clearly, you guys have been very busy over the past 45 days and the efforts show promise. And by the way, the meeting that we had today and over the past few weeks are some of the best both in content and presentation that we've seen from Limelight in a long time." So we have 2 of our marquee customers who are taking us out of jail, and we're pretty excited about that. That's literally as of this morning.  So we no doubt about it. We had some bumps over the past few quarters, but we feel pretty good about the progress that we're making now.
Operator: The next question is from Brett Feldman with Goldman Sachs.
Brett Feldman: You made the point about how some of your largest customers are in the OTT space. But that leaves you with a significant amount of off-peak excess capacity. So I sort of have two questions there. The first is, when I look at the expanding number of OTT services, I guess, I would have intuitively guessed that, that would have been a bit more of a tailwind for your business. Not just from a traffic standpoint, but from a traffic diversification standpoint, because I'd imagine that actually probably has a constructive impact on your pricing. So I was hoping you can maybe give us some insight as to maybe why that hasn't played out to your benefit yet.  And then second and maybe more importantly, when you talk about the significant amount of excess capacity at off-peak times, what would you think of as being the principal potential sources of traffic? What are the customer sets you historically haven't targeted and how well positioned are you right now to go after that? Or are there additional hires or investments you need to make to be able to pursue those opportunities?
Robert Lyons: Yes, yes. Thanks, Brett. Great question. So I'll start at the beginning. The reason why doing more OTT doesn't necessarily improve our utilization is because it's really about the demand curve. And if you have a lot of customers who -- people watch TV at the same time, regardless of what source they go to. And so the issue really is a demand curve.  And if you look at the math of our business, if you have 24 hours of capacity, and the vast majority of your demand comes in a 6-hour -- or 5- to 6-hour window, mathematically, you can never really get the utilization of your network over 20% even if you have more OTT traffic. And in fact, that sometimes makes it worse because you build for peak capacity, and all you're doing is really creating more latent capacity that costs a lot of money.  In addition to that, one of the significant advantages that we have is the fact that we have our own private IP backbone, something that's unique in this industry. And that cost a little bit of extra money and it adds to the fixed cost. But it's also why we've been able, historically, to be always #1 or #2, and why we'll get back there pretty quick and doing that.  And so what happens is if you put more traffic, that's the same kind of demand pattern, you create more peak and more latent capacity. So when we talk about diversifying revenue, the question really becomes, given that IP backbone that we own and pay for, we have, let's say, 18 hours a day of ultra low latency, high-quality network bandwidth in every major city across the world. It's really unparalleled.  And so the question becomes, what are those business solutions that we can leverage that, and we can significantly go out and offer with a cost advantage because right now, we're paying for that bandwidth, even though it's not being used. And if we could leverage that bandwidth to bring solutions to market that gives us a significant performance and cost advantage, and at the same time, drives our utilization of what would those look like.  And so we'll talk a lot more about that in our, let's say, mid-June strategy comment -- summit. But what I'll tell you is the types of things that we're looking at that can fill that at scale, are things like getting involved in the web -- small logic side with web acceleration, web performance. Of course, security is a big play in there as well, but not traditional security that is perimeter-oriented, more threat detection and analytics and log ingestion, things where you're doing a lot of real-time data that happens during the day.  Things like Cross Connect, where enterprises are now moving towards a more hybrid environment. They have multi-cloud. They have SaaS applications. They might still have premise locations. And they have to be able to move data around seamlessly, efficiently and more cost-effectively between their enterprise. And our network is ideal for that kind of thing. And we just haven't really approached it that way.  So those are all the kind of conversations we're having. We're working through all those things. What I can tell you is that what we do pursue, we'll be much more clear about that in the early summer meeting. And it will be the things that definitely leverage our network and give us a unique right to win in the marketplace, and where we can drive our utilization up at the same time. And as Dan pointed out in the opening comments, for every point of utilization that we can improve, it's anywhere from $7 million to $9 million -- $5 million to $9 million depending on the region, that flows right to the bottom line. So it's a very meaningful opportunity for us.
Brett Feldman: Great. If you don't mind, I'd ask a different question. Earlier in my career, I worked in an emerging growth company that hit a speed bump, and they had to do a force reduction. And it definitely takes a bite out of the culture. And I'm just curious, what have you done with the people who are staying on here to make sure that they're motivated and excited and incentivized. It looks like there was an uptick in stock-based comp in the quarter. So it seems like there may have been some incremental equity awards. Is that something you think might be persisting for a few quarters to make sure everyone has sufficient upside as you get the company turned around?
Robert Lyons: Yes. It's a great question, Brett. And unfortunately, when you're coming in and you're trying to say, "Hey, we're going to drive a lot of change." At the same time, you don't have an event like we had, which really dilutes trust it's a challenge. So there's a number of things that we're doing. Number one, we're focused on a lot of communications. I probably spent 3 hours already today having conversations with the organization, taking them through the strategy, giving them reasons to believe. Quite frankly, we've been pushing the organization pretty hard as well. And so when they got the wins that we just mentioned a little while ago, that puts a lot of win in people and sales.  What I found here that people really want Limelight to be the company it should be and are passionate about it. And what we need to do is really just help them do that. So a lot of communication. We actually are in the process of redesigning a performance reward, pay-for-performance program. So those people have really stepped up. What I tell the employees exceptional performance, we'll get exceptional results for them and standing behind that. So we're doing all those things. But it's a really important part of it.  The other thing that we're doing is bringing the employees into the solutions. Instead of telling them, here's what we need to do, we're saying, here's the problem. Let's figure it out together, and they really embrace that and get energized about that.
Operator: The next question is from Robert Majek with Raymond James.
Robert Majek: I'll have my appreciation for the full year of revenue guidance that you just gave. And I know you don't guide quarterly, but to achieve the midpoint of your guide by just doing the math, one could assume a ramp throughout the year to perhaps the $60 million, $61 million figure so in Q4. so just kind of annualizing that, can you just help us understand how we get from $200 million in run rate business in Q1 to potentially $240 million plus number in Q4 in the space of what could be a tougher traffic environment for CDN as people get vaccinated and head outdoors? Or do you have visibility on some large net new business that might offset that cyclical pressure?
Robert Lyons: Yes. Great question. Let me frame it up, and then I'll let Dan put the details on it. But we spent a lot of time talking about that. And so on the one hand, you have to look at the market, to your point, people going outside now in the summer as well as kind of coming outside of the lockdown from COVID. But for us, actually, the biggest material opportunity for us is just share of wallet with our clients. And so we looked at each one of those.  And I will tell you, I'm not a big fan of hockey stick plans. I very rarely have them, and so I'm always reticent to put those out. But in this particular case, we've done a lot of analysis and the math behind it actually supports it as long as we continue making the improvements that we're making. And again, over the last 14 days, if I showed you the trajectories over the last 14 days, you would see that, that's where it's really justified on. And we've actually discounted that back, but 14 days isn't a trend yet.  So we really tried to adjust it based on what we're seeing over the recent trends with the performance improvements what we know the opportunity is in the top 20 clients that we have and what they've told us is available to us if we continue to improve our performance. And then we try to really gauge that, and that's where we got to the number.
Daniel Boncel: Yes. Robert, this is Dan. And just to add a little bit more color on that. We expect -- normally, we don't go quarter-by-quarter and issue revenue guidance. But given where we're at and trying to be transparent with our shareholders and where we see things going. We felt that, number one, it was appropriate to give the full year guidance and a little more color in how we expect that to flow through. And with the performance improvements that we've implemented already and expect to continue to implement to gain that market share back from our customers, we do expect to see the Q2 be relatively flat from the first quarter and then that ramp starting to begin in Q3 and Q4 and sequentially grow throughout the year.  And so we've discounted the opportunities in the market share and what we believe we can gain from those customers within that guidance. But like Bob said in his first comments, there's reason to believe that, that's conservative, and there's reason to believe that's aggressive, and we tried to take a middle-road approach to it.
Robert Majek: Yes. That's helpful. And also, I appreciate the performance improvements you're making to the network. And thank you for sharing some specific customer feedback. But I guess just taking a step back to the broader large customer group if they were disappointed with performance previously, are they now satisfied with where performance is today? Or are there more improvements that you have to make to retain their business?
Robert Lyons: Yes. So that's a great question. I would say, very encouraged with the performance, so much so that we're seeing the traffic return. And in some cases, our largest customer, it's a nonperson decision. It's basically -- it's a mathematic algorithm. It just decides who gets traffic based on the performance. And that's where we've actually seen the biggest uptick. So we're pretty excited about that.  What I'll tell you though, Robert, is the -- if you ask me that question every quarter for the next 10 years, you'll get the same answer from me. There's always more to do, and we're going to be a company that wakes up every day saying, "How do we perform better? And what else can we do?" And that's really the industry we're in. And the same goes for cost. What can we do to be more efficient? What can we do to perform better?
Robert Majek: And if I can, I'll add one last question. Again, I think, investors appreciate the steps you're taking to improve EBITDA profitability. But I guess it raises the question, especially given how you're highlighting how important performance is. Could the cost-cutting actions you're taking negatively impact, again, either performance or your sales motion? Or maybe you could just kind of help us understand why that wouldn't be the case.
Robert Lyons: Yes. We're very thoughtful about that. We don't think so. I think for a number of reasons. On the cost side, there's really 3 areas. I spoke about this a little bit in the first quarter. There's operational, architectural and strategic ways that we can drive cost down. Operationally, the things that are going to impact people are the ones we did. So we're done with that, we can move on. We wanted to rip the band aid off, so that people aren't looking over their shoulder.  But operationally, we can also do things like more automation, more tooling, using technology to sell field, to respond to things that historically we use people for, which is less efficient, it's also less predictable. Architecturally, we're looking at places where we can, for example, I'll give really  for a second, where if we upgrade with a new function in Linux, we can significantly improve the TCP productivity, and that translates into these metrics for our clients getting better. So we're really at that level of granularity as well.  And then strategically, it's all about utilization. It's all about diversification and using that off-peak bandwidth to drive utilization up.
Operator: The next question is from Eric Martinuzzi with Lake Street.
Eric Martinuzzi: Yes, looking for green shoots here in the business. It looks like you guys highlighted the land American traffic. I realize that, that is just kind of a volume-based comment there, the 40% -- the increased traffic by 40%. Is there a way to translate that into the revenue? Should I -- in other words, if we were comparing it to a prior quarter, had the price compression already happened in that prior quarter? In other words, revenue from Lat Am is up 40%? Or are there puts and takes there?
Daniel Boncel: Yes. Thanks, Eric. This is Dan. Appreciate the question. And with Latin America, over the last year or so, we've been really building out our capacity with some partners that are well ingrained within the ecosystem in Latin America. And we've added over 2 T a capacity down there. And so really, it's a volume play for us as well as the performance play for us that is filling up those pops as soon as we're putting them up.  And with Latin America and with the difficulty in getting capacity down there, we actually have a pretty nice premium on the pricing down there, which is also good. There's a lot of competition in the U.S., in developed countries in Western Europe, where we really saw a lot of price compression at the end of last year. And so, we're just focused on continuing to add capacity where it's profitable for us, and Latin America has been where it is.
Robert Lyons: Yes. Eric, and I'd just add to that for additional color on green shoots. In fact, Dan and I just had a green shoots conversation yesterday as a matter of fact. And so, one is the pieces that you just talked about, but also, yes, we said 45 days ago, we were going to get really dwelled in on improving our performance. And in the past, I'd say, 14 to 21 days, 3 of our top 5 customers has seen notable upticks in traffic solely because of the improvements in performance. So those are about as good as green shoots as you can get from where we're sitting today.
Eric Martinuzzi: Okay. And then given your color on -- I know we're not talking about guidance for Q2, but just revenue trend. The gross profit margin in Q1, it was a bit of a jaw dropper. And you mentioned, hey, it's volume related. We got all these fixed costs out there. But given flat -- an assumption for flat revenue, what can we expect on gross profit for Q2 versus Q1?
Daniel Boncel: Yes, still relatively flat on gross profit from Q1. We're working through our cost optimization model to identify any anomalies in different regions where there's co-lo costs that are higher in a particular region and within that region versus other locations within that region or outside. And so we're looking at every aspect of our cost structure and really diving in on the anomalies between our different locations and profitability by locations, and who we're serving out of there.  And so we expect to continuously make performance improvements. And improvements in our cost structure as we work through the modeling, but those aren't switches that we can turn overnight. We're identifying those issues right now, and we expect to continue to really improve upon our cost structure. But really the biggest driver of how we can improve gross margin is going to be utilization improvements and really driving that off-peak traffic and identifying customers that are different from our existing base of customers. That is primarily night-time peak traffic.  And so working through that process is really what's going to drive profitability and gross margin expansion in the long term. But there are other things that we're not dismissing that can help as well.
Robert Lyons: Yes. And just to add some color to that, Eric, the -- to put a little more color on the kind of things we're doing for optimizing. Obviously, getting more revenue on the fixed cost is the biggest help. But when we talk about optimizing, we're introducing things like stochastic modeling and linear program optimization on our pops so that we can use technology in real time to help us optimize. And those things are going to take a little time to implement, but when we do, they're going to make sure that we're constantly optimized to improve gross margin.
Operator: The next question is from James Breen with William Blair.
James Breen: So given the comments on sort of the revenue and gross margins, you look at the income statement, your G&A look quite a bit and R&D is up quite a bit sequentially. It looks like the G&A was a lot of stock-based comp. Can you just talk about the trends there as we move forward? And then of the cost savings that are coming out, the $50 million annualized, maybe how much of that was recognized in the first quarter, if any, and then how do we think about that a step down in some of those costs as we move into the second quarter and the rest of the year?
Daniel Boncel: Yes. Thanks, Jim, I'll add a little more color on -- sequentially, within -- really the big variance, sequentially, was in G&A. And as we've gone through the restructuring process and really transition process into Bob Lyons' tenure here, there was some cleanup in equity award modifications from the previous management team that couldn't go through the restructuring line item from an accounting perspective. And so that's what drove the increase in G&A expenses quarter-over-quarter.  Going forward, that $15 million is primarily going to be within the sales and marketing line item. $9 million of that $50 million flows through there with another $3 million flowing through R&D and $1.5 million in cost of revenue and $1.5 million in G&A. And so, we'll see those benefits right away in Q2. None of those were recognized in Q1. And so, we expect to see anywhere from $3 million to $4 million reduction in those line items as a result of the reduction in workforce.
James Breen: And the elevated G&A, does that basically go away now? Is that a onetime item in the quarter? And so  back to that?
Daniel Boncel: One time. That's right.
James Breen: And just how much was that? Was that sort of in the $5 million range?
Daniel Boncel: Right on.
Operator: The next question is from Colby Synesael with Cowen and Company.
Michael Elias: Hi, this is Michael on for Colby. Two questions, if I may. First, when we think about your strategy update that you're planning for early summer, what should investors expect? Should they expect some form of long-term guidance or just a deeper dive into the current strategy?  And then also, when you talk about over the next 90 days, you believe that continued operational improvements will drive increased market share. I just want to be clear, is it increased market share relative to the lows that you saw? Or is this a further step up above what you had seen before any of the performance issues? Just want to make sure I'm clear.
Robert Lyons: Yes. I'll start with the back end and work to the front end of your question. So on the back end, there's really two drivers. We have how much of the share we get. And then there's also how much of the pie is there to begin with. And most of our top customers, they're probably is expanding pretty rapidly and the top 5 are significantly expanding. And so we -- over the past, let's say, 3 quarters, we have not only lost our share of the expanding pie, but we lost our relative share to percentage of overall.  And so we see both of that. We see capturing a higher percentage overall, and the pie is expanding. So that should be sequentially better than previous years. Obviously, we have the price compression that Dan talked about, we've got to work through. But generally speaking, there should be upside.  And then on the front part of your question with the strategy, I would expect it to be more focused on, here's where we're going, here's why we're going, here's the ways we're going to win in the market, and here's why what we've been saying and the future of Limelight is bright. I don't know that we'll get into long-term guidance. We will probably share our thesis around that so that you understand our thinking behind it. But it will be largely really understanding the road map, the pieces that we're putting together and a more detailed view of how we plan to win and grow.  Ultimately, what you should walk away from that conversation is I understand exactly how they're building a growth and profitability platform and also a way to expand our multiples. I mean those are the 3 things, obviously, they're going to prove shareholder value. So we're -- that's what we're focused on.
Operator: . The next question is from Michael Latimore with Northland Capital.
Aditya Dagaonkar: Hi, this is Aditya on behalf of Michael Latimore. Can you comment about the growth and the traction that you're seeing in the gaming vertical? And also, on the sports and live events-related revenue, how have they been growing? And how much do they contribute as a percentage of total revenue?
Daniel Boncel: Yes. We don't break it down in those terms. We've mentioned in the past that the majority of our delivery represents about 80% of our total revenue. And so that's the lion's share. And the lion's share of that delivery is video at this point in time. The gaming and other revenue is there and live events are there, but that's not a significant amount of our monthly or quarterly revenue.
Robert Lyons: Yes. In the live events, real-time streaming, that will be -- we'll discuss that in more detail in the mid -- early summer strategy session. That's an area that we're focused on of where we should, and how we can play and win there.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Bob Lyons for any closing remarks.
Robert Lyons: Thank you, operator, and thank you, everyone, for joining us today. In my first 90 days, we have made meaningful progress with much more to do. We are laser-focused on building a platform for profitable growth and across the organization, we are optimistic in our ability to do so. We look forward to updating you on our progress as we go forward. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.